Operator: Thank you for standing by. This is the conference operator. Welcome to the Torex Gold's Second Quarter 2025 Results Conference Call and Webcast. [Operator Instructions] The conference is being recorded. I would now like to turn the conference over to Dan Rollins, Senior Vice President, Corporate Development and Investor Relations. Please go ahead.
Daniel James Thomas Rollins: Thank you, operator, and good morning, everyone. On behalf of the Torex team, welcome to our Q2 2025 conference call. Before we begin, I wish to inform listeners that a presentation accompanying today's conference call can be found under the Investors section of our website at www.torexgold.com. I'd also like to note that certain statements to be made today by the management team may contain forward-looking information. As such, please refer to the detailed cautionary notes on Page 2 of today's presentation as well as those included in the Q2 2025 MD&A. On the call today, we have Jody Kuzenko, President and CEO; and Andrew Snowden, CFO. Following the presentation, Jody, Andrew and I will be available for the question-and-answer period. This conference call is being webcast and will be available for replay on our website. Last night's press release and the accompanying financial statements and MD&A are posted on our website and have been filed on SEDAR+, also note that all amounts mentioned in this call are U.S. dollars unless otherwise stated. I'll now turn the call over to Jody.
Jody L. M. Kuzenko: Thank you, Dan, and good morning to all on the line. We'll take you through the detailed results over the next 20 minutes, of course, but I wanted to open this call with some high-level commentary about the quarter. In some ways, quarter 2 was exactly what we wanted. Our safety performance was impeccable. We had no lost time injuries in the quarter, and we made very good progress on our next level safety program, including continued implementation of the fatal risk standards and critical controls first in our underground operations and then over the surface facilities. Second, and importantly, as planned, we declared commercial production at our Media Luna Project on May 1, which is a major milestone for the organization. You can take from this that the process plant ramped up through the first part of the quarter as expected, as did the Media Luna mine, both good news. And notably, in June and July, we announced 2 M&A transactions back to back, the all-cash acquisition of Reyna Silver and the all-share acquisition of Prime Mining. Really, this is a year's worth of work coming together within a month of one another. Dan will provide more details on this shortly. Now all that said, in other ways, the quarter was not what we wanted at all. Even though ramp-up at the process plant was tracking very well through the early part of May, at the end of the month, we had a capacitor failure in the electrical house that feeds the variable frequency drives of the ball mill. This took us down for 10 days while we sourced a replacement from Europe. So production was not what we wanted it to be at all. It came in at 83,000 ounces of gold equivalent for the quarter and 142,000 ounces year-to-date. This means that for the first time in years, we're going to be on the back foot here to deliver annual production guidance of 400,000 to 450,000 ounces. We think we can do it. We've got a plan to do it, but we have our work cut out for us for sure. This disappointing production result and the fact that the Media Luna mine is still in ramp-up translated into what I would describe as forgettable performance on all-in sustaining costs. Andrew will take you through that in his section. And finally, on nonsustaining CapEx, we've had to adjust annual guidance upwards by $70 million for various reasons I'll describe later in the call. But largely, it's a reflection of the extended project period from the delays we encountered late last year and a ramp-up plan that has us maintaining aggressive development rates at Media Luna underground to achieve that 7,500 tonnes per day, 6 months ahead of the schedule we set out for ourselves in the technical report. All of that said, we look forward, and there's plenty to look forward to here. With the May downtime behind us, June and July production at the process plant was excellent. Tonnes per day was above 11,100 for both months and finished production for June was 37,000 ounces gold equivalent and 45,000 ounces gold equivalent in July, both real step-ups from what we saw in the early part of quarter 2. Secondly, the extra capital on Media Luna means that we're largely on track with the paste plant commissioning, which is happening now, and the third and fourth ore passes at the Media Luna mine, both of which support achieving the targeted mining rates at Media Luna. And notwithstanding the challenges in the quarter, importantly for us, we finally turned the corner on free cash flow. June was our first positive month and quarter 3 very much tracking to be our first positive quarter. Now getting into the details here, starting on Slide 4, which sets out our strategic pillars, which would be familiar to everyone. They remain unchanged. One area of the strategy that came into sharp focus here in the quarter was centered around disciplined growth and capital allocation in two ways: first, with the announced acquisitions of Reyna Silver and Prime Mining. And second, we expect to further advance the work in this aspect of our strategy later this year when we announce our inaugural return of capital policy, which we remain very much committed to. I want to underscore here and be clear that with the free cash flow we have anticipated out of Media Luna, we're not thinking that M&A and capital returns are exclusive propositions. This is very much an end conversation for Torex. We intend to proceed with both. The rest of the progress on the various aspects of the strategy will be covered off through the remainder of today's update. Turning now to Slide 5. You can see our quarterly production illustrated on the chart. I've already spoken to the drivers behind the weaker production and higher AISC for the quarter. We expect quarterly results will return to normalized levels in the second half here, and we think this will reinforce to our shareholders the margin and cash flow capability of Morelos. We already got a glimpse of this potential in June with gold equivalent production over 37,000 ounces and our first month of positive free cash flow since completing the Media Luna build. Slide 6 shows how we're progressing on delivering on full year guidance. With a strong second half in sight, we're maintaining our annual production and cost guidance. Note here that we expect to be at the lower end of production guidance and the higher end of the cost range. The second point to note on this slide, as I mentioned at the outset, is nonsustaining CapEx has increased to $160 million to $170 million for the year, largely due to costs associated with finalizing the Media Luna Project. This increase comes in a couple of categories. One, the main driver is scope transfer from 2024 to 2025 and demobilization and remobilization costs following the December fatalities. Associated with that scope transfer and the fatalities was the extension of the mining infrastructure construction period that is now drawing to a close. With the scope shift and extended project period comes additional indirects for this extra time, so you can see how it builds on itself. And over top of those things, we have a continued aggressive mine development plan at Media Luna, all to support accelerating those mining rates to 7,500 tonnes per day. Over top of that, we have no room to reallocate nonsustaining CapEx from EPO to Media Luna as progress on EPO is maintaining pace. That study in concurrent mine development will consume its $30 million to $35 million budgeted this year. I'd note here that there's been no change to sustaining CapEx guidance. That's very much on pace. The final point of note on this slide, when comparing our year-to-date performance to performance at guidance metal prices, you can see the impact that elevated gold price is having on our costs as we now report on a gold equivalent basis. I mean it's a good problem to have, but an important one to note in the context of where we sit today compared to where we thought we would be when we set guidance at $2,500 an ounce gold price. Andrew will take you through this in more granularity. Got some new slides here on operational performance, and the first of them is on Slide 7. You can see there on the chart on the left, setting aside the 10 days of downtime at the mill in May, the processing plant is ramping up exceptionally well. Throughput in both June and July surpassed 11,100 tonnes per day, well above the nameplate capacity of our upgraded mill, which is at 10,600 tonnes per day. On the recovery side at the right, you can see the metallurgical results. The plant has also been hitting its stride since the conclusion of the commissioning period late March. Recoveries for gold, silver and copper have consistently been achieving their targeted levels. What you will notice in the chart on the top right is that copper and silver recoveries in June were significantly lower than previous months. There's a reason for this. With the mining of our last open pit El Limon Sur drawing to its close, we processed open pit material in the month of June, which, as you know, is lower in copper content. Our upgraded processing facilities were designed with the ability to batch process our ore, switching between the leaching circuit and the copper and iron sulfide flotation circuits as the metallurgy in the ore dictates. This June was our first true test of that capability, and I'm quite pleased to say it went smoothly and according to plan. Once we had processed the available high-grade open pit ore, we redirected feedback through the flotation circuits and quickly reestablished our targeted recoveries, which returned to levels more reflective of where we were in April and May on copper, certainly. To my mind, this is a really good demonstration of the flexibility we've built for ourselves with the new processing facilities. Last note here is that remaining open pit ore has been stockpiled to be used to top up the mill if and as required until EPO comes online or preferably towards the end of mine life. Moving now to mining on Slide 8. You can see both mines continue to perform very well. Media Luna stepping up nicely towards the targeted 7,500 tonnes per day by mid-'26, more on this in a moment. And over at ELG underground, after a slower start to the year, mining rates picked up and are at or above targeted rates of 2,800 tonnes per day. Recall, we expect to be mining at these rates at ELG underground for this year and next, supporting our need to fill the mill through the construction of EPO before returning to more typical levels of 1,500 to 2,000 tonnes per day at ELG underground as EPO ramps up in late '26 and starts producing in 2027. I should also note that we're not reporting open pit mining rates on this slide as that part of our operations is now behind us. With the last blast having occurred on July 30, today, at Morelos, we're now mining 100% underground. Turning to progress and milestones remaining on Media Luna. What's left here? It's set out on Slide 9. First is the delivery of pace to be able to get backfilling and open up more stopes in the underground. Construction of the paste plant and paste distribution is all but complete with the wet commissioning of the paste plant itself and the associated distribution infrastructure currently underway. I expect paste to begin flowing in the coming weeks. I would note, commissioning of this infrastructure is just a few weeks behind schedule. It's a very sequential step-wise and detailed process. People tend to think here just about the paste plant, but it's about the plant, the GEHO pumps, the big positive displacement pumps, the water line, the tailings line to the paste plant that has to go 7 kilometers through the tunnel, 750 meters vertical delta to get to the paste plant and then the paste distribution lines on the back end. That all has to be hydrostatic tested, tested under pressure, water tested and then solid is introduced. I'm pleased to say that first tailings is scheduled to be introduced August 19 and binder about a week after that. Second important milestone here is the completion of the two remaining ore passes in the underground, one at the end of August and the other at the end of November. Once these ore passes are completed and in combination with the base backfill, we expect to open up more stopes, allowing us to hit the targets we've set out for ourselves here, 6,000 tonnes per day by the end of quarter 3, then a step up to 6,500 by the end of the year and 7,500 tonnes a day consistently by mid-2026. Moving on here to Slide 10 sets out the sketch of our next mine on the Morelos property, EPO. It's advancing quite nicely. In May, we took our first development blast for the access ramp off the Guajes tunnel. Those of you who are on the mine tour saw this as we drove through the tunnel from the north side to the south side. We've now developed about 230 meters into that tunnel, so just about halfway to the deposit. Importantly, we also submitted our permit application in May and received approval for SEMARNAT in July for a modification to our MIA-Integral for the construction of the new waste dump to support EPO construction. Additionally, the feasibility study continues to progress with a number of key items finalized during the quarter, including mine design parameters, mine sequencing, and integrated mine plan and integrated scheduling with Media Luna. Recall that EPO will utilize Media Luna's ore handling system. So it's important that we have these two mines working in harmony together. We completed field test and test work programs covering aspects of geotechnical issues, hydrogeological issues and metallurgical programs, all of which have now been built into the integrated mine design. We also assessed various trade-off studies on key elements of the infrastructure design, including ore handling, ore bin, ore waste pass sizing, mine fleet composition and ventilation requirements. Through the back half of the year, we'll start to place orders for long lead time items. In short, things are progressing very well at EPO, and we're on track for initial production in late 2026. And with that, I'll pass the call over to Andrew to discuss our financials.
Andrew P. Snowden: Okay. Thank you, Jody, and good morning, everyone. So I'll start my comments first looking on Slide 12, which provides a summary of our Q2 financial performance. Now we were expecting our costs to peak here in Q2, which they have, and that was due to the processing and sale of the initial higher cost ore coming from Media Luna. These higher costs, however, were further elevated in the quarter due to the lower-than-planned production for the reasons Jody just walked through as well as the higher gold price quarter-over-quarter, increasing the cost of royalties and profit sharing. This higher all-in sustaining cost resulted in tighter margins in Q2 compared to what you've been used to, but our margins do remain robust on a year-to-date basis at around 42%. With costs expected to decline through the second half of the year, we fully expect to improve these margins, particularly if these gold prices continue to hold. Just looking at the lower chart on this slide now, this shows our free cash flow on a quarterly basis. And you'll know that's our negative free cash flow in Q2, and this will be our last quarter of negative free cash flow. As telegraphed, we transitioned back to free cash flow in the month of June, generating $44 million of free cash flow in the month, and we expect to generate a quarterly positive free cash flow going forward given Media Luna Capital is closing out on our heavy tax royalty and PTU payments for this year are now behind us. And looking next on Slide 13. I've included this slide just to highlight the impact of the gold price on our -- on some of our key metrics. We did guide at $2,500 gold for the year, $28 silver and $4.30 copper. And given the high elevated metal price environment, although positive margins, we are seeing an impact on that higher gold price compared to where we expected to land at those guided ranges, particularly with respect to all-in sustaining costs, which on a year-to-date basis are just over $100 an ounce higher than where we would have been if metal prices remained at those budgeted and guided levels. The increase is primarily driven by our royalties in Mexican mandated profit sharing payments or PTU, which account for about $50 an ounce, so about half of that increase. We're also seeing just under $10 an ounce impact on our temporary occupation agreements, and that's due to the higher gold price as well as the expansion of our continued exploration footprint at Morelos, while $33 an ounce is due to the impact of the lower calculated gold equivalent sales. Going forward, if metal prices remain at these levels, we do expect to continue to see elevated costs as every $100 an ounce increase above our guided gold price we will see about a $20 to $25 impact to all-in sustaining cost. Moving on next to Slide 14, and you can see here that we ended the quarter with just over $100 million in cash, which is maintaining our target of retaining over that threshold on the balance sheet. In the quarter, we paid our annual profit sharing or PTU payment to our employees, and that was a total of $30 million, and that shows up within changes in working capital given it was accrued for at year-end. In addition, the capital expenditures for the quarter were about $100 million, of which $55 million relates to Media Luna and the construction of EPO. To support these demands on cash, we did draw $35 million on our credit facility early in the quarter to maintain that $100 million cash on the balance sheet. With a return now to positive free cash flow in the month of June and the expectation this will continue to be generated going forward, our balance sheet and liquidity position will significantly improve through the back end of the year, and I expect we will start to pay down our debt this quarter. Our debt facility and liquidity position are better illustrated here on Slide 15, and you can see here our net debt position at June 30 was $226 million or if you were to exclude leases, about $127 million. To note, during the quarter, we also did amend our credit facility to increase the maturity from December 2027 to June 2029, so it's now a 4-year term. And we also increased the capacity from $300 million to $350 million. Just to note, the debt facility continues to include an accordion feature, which was also increased from $150 million to $200 million. This amended facility is all to provide financial flexibility going forward to execute on our strategic objectives while protecting our strong liquidity position. Finally, I wanted to just quickly remind everyone of our hedging position, which is summarized in the table on Slide 16. And just to note, there were no additional hedges put in place during the quarter, we continue to have a mixture of 0 cost collars and forward contracts to protect our peso-denominated operating costs. As a reminder, these provide protection for about 60% of our peso operating costs through the year. We will look to add to this peso hedge book for 2026 as we see opportunities present themselves. With that, I'll hand the call over to Dan.
Daniel James Thomas Rollins: Thanks, Andrew. Turning to Slide 18. We have been active on the M&A front in recent months, starting with the announced acquisition of Reyna Silver in June and the announced acquisition of Prime Mining last week. The Reyna Silver and Prime acquisitions fit within our strategic objective of becoming a diversified Americas-focused precious metals producer with assets throughout all stages of the development pipeline. These transactions support asset diversification and enhance our medium- and long-term growth prospects beyond the potential to offer up through our flagship Morelos Property. The acquisition of Reyna Silver builds out our exploration portfolio by adding four highly prospective early-stage exploration properties, two located in Nevada and two in Chihuahua, Mexico. Our exploration team is extremely eager and excited to get to work on these assets given the underlying potential of all four properties and the strong technical work completed to date by the Reyna Silver team. The acquisition of Prime Mining will give us 100% ownership in the advanced stage Los Reyes development project in Sinaloa, Mexico. Los Reyes will become Torex's next growth project outside of Morelos and given the quality and level of work completed to date, we are looking to complete a preliminary economic assessment on the project mid next year. The real benefit we're capitalizing on with these acquisitions is our operating expertise, including: one, exploration. We have steadily built out our exploration team over the last few years and now have the people in place to deliver on the potential we see across these five new assets, leveraging our exploration framework. Number two, project development. Our project team is coming off the Media Luna build and well positioned to advance Los Reyes from PEA stage all the way through to construction and into production. And finally, three, operationally. Our team in Mexico is exceptionally well versed in handling community relations, government relations and the ins and outs of operating in Mexico, including permitting and security. In our view, these attributes provide us with a strategic advantage to derisk and advance the various projects forward, especially Los Reyes. Overall, we believe we are well positioned to leverage our competitive advantage to unlock significant value across our expanded portfolio over the coming years. Finally, Slide 19 illustrates how we see these five assets fitting into our exploration pipeline. A significant amount of drilling has already been conducted at Los Reyes, which is notable in where the project sits in our exploration pipeline. Future programs will be aimed at upgrading and expanding the current resource while testing regional targets, both within and outside the known trends. The Reyna assets will slot into various levels of our exploration system pipeline at the earlier levels, and we've already drawn up plans to begin advancing programs through the remainder of 2025 and into 2026. We'll have more color on these programs when we put out our guidance for 2026 early next year. It's important to note that these projects won't make us take our foot off the gas when it comes to drilling at Morelos. With 45 million and nearly 125,000 meters of drilling planned for this year, we continue to believe we've yet to unlock the full potential of Morelos, an asset we expect we will be mining for decades to come. With that, I'll turn the call back over to the operator for any questions.
Operator: [Operator Instructions] The first question comes from Don DeMarco from National Bank Financial.
Don DeMarco: So yes, congratulations on the positive free cash flow inflection late in the quarter. My first question is on the paste backfill plant. I'm reading that connection is -- hookup is imminent. Can you provide maybe just a little bit more color when you expect it to be operational? And there any CapEx to be incurred in Q3 on this particular item?
Jody L. M. Kuzenko: Thanks, Don. It's Jody here. Yes, there is CapEx to be incurred in terms of the conclusion of the paste plant, and that is built into the revised sustaining CapEx number that we provided. In terms of concluding the paste plant, you'll recall, Don you at the site visit that we had expected to be feeding tailings by this time. We've had a couple of hiccups there. One is as we were finishing the Guajes tailings return line, that 7-kilometer line, it took extra time to get the last pressure fittings and components to complete that line, and because it's a high-pressure line, you can't substitute fittings and components. It had to be perfect. So we took an extra week there. And second, the very large GEHO pump when we were mechanical testing that seal. So that seal had to be replaced. So we're a little bit behind schedule on that. With all of that said, with all of the components, the pump, the lines, the paste plant and then the paste distribution lines, we're hydrostatic testing now in various stages of that at different systems. We expect to introduce tailings August 18, that is the plan and then a binder about a week after that. We've done a lot of prework outside of the plant to make sure we have the paste recipe right, and so we expect to have a steady stream of paste here flowing by the end of August.
Don DeMarco: Okay. Good to hear, and so what are the implications of this on your ramp-up of Media Luna underground? Or is there any really?
Jody L. M. Kuzenko: Yes, that's a good question. There are implications because our stope sequencing had to be adjusted based on the timing of backfilling, and so the team has had to recast the underground mining plan a couple of times now because of the sequencing of not only paste conclusion and backfilling, but also the conclusion of the third and fourth ore pass. Now the forecast we have for the balance of the year integrates the revised forecasting for paste availability and availability of RB3 and RB4. But what I will say, Don, this is a testament to our strategy of keeping our foot on the gas on development. Development at over 1,200 or 1,300 meters a month, both lateral and vertical. It's cost us money. It's contributed to that nonsustaining CapEx overrun, but because the mine was so opened up in terms of both delineation drilling on the stopes and in mine development, we had some flexibility. We had some optionality and turns out we needed it because of the paste plant timing and RB3 and RB4 timing, and so I'm pleased with the contingency we've created for ourselves. It's a testament to our operating skills here.
Don DeMarco: Okay. Great. That's very helpful, and then just as a final question, just shifting over to exploration. I see that you've got a very upsized program this year, a lot of catalysts. Can you just highlight maybe the top 2 or 3 catalysts and the timing of these we might expect? And in particular, also, when might we expect first results out of Atzcala, on the site tour, I saw that, that would look like an interesting target.
Daniel James Thomas Rollins: Yes. Thanks, Don. So we put out a press release recently and a couple of other ones this quarter. The next probably set of press releases will be later in the summer, and then we'll see a more flurry of them as the programs come together towards the end of the year. Again, the key one for us is really ELG underground in Media Luna West. ELG underground is key because every year, we can replace reserves that continues to push out that longer -- that production profile at steady state every year because we just displaced low-grade stockpiles. Media Luna West, you saw the results earlier this year. We're continuing to drill there. The goal there is to get that potentially to a resource either at the end of this year or in sometime in 2026. So those are the key targets. Drilling at Atzcala, as you will have remembered, was going to be more later dated for this year, just waiting on some permits to get drilling there, but we should start to see results flowing through the pipeline to the news flow line probably in early '26 on Atzcala. More importantly, I think the key ones for us are going to start to do work at the Reyna and Silver assets. We'll get our feet on the ground here at Griffin later this year, start to do some groundwork there, set it up to start to do some drill testing in 2026. The same thing at Batopilas, which, as you know, is a very highly prolific silver district with a very large historical endowment. We want to get in there, start to do the groundwork again this year and set it up for drilling in 2026 as well as start to advance both Medicine Springs and Guajes. And then additionally, once we close Los Reyes, the Prime transaction, we'll get back and start drilling Los Reyes as well. So lots going on the pipeline, but the key ones at Morelos this year are ELG underground Media Luna West, and then we should start to see more news flow towards the end of this year.
Operator: The next question comes from Eric Winmill from Scotiabank.
Eric Winmill: Just a quick follow-up here on the paste plant commissioning and the backup pumps, are those still on track for installation? I think you had said it was somewhere around October or so.
Jody L. M. Kuzenko: Yes. The short answer to that, Eric, is yes.
Eric Winmill: Okay. No, great to see, and maybe just a question on exploration. The Naranjo project, I see drilling has been paused there. It sounds like there's some construction of the drilling platforms underway, any updates there on Naranjo and when drilling will start there again?
Daniel James Thomas Rollins: Yes. No, we're just working through that. So we'll get back and start drilling that later this year or into early next year. We're just sort of allocating priorities. So the drilling that won't happen there, we'll push it to other targets on the property. But again, that's a very early stage one, really more drill testing of a couple of targets, not a large focus for this year's program.
Eric Winmill: Okay. I appreciate that, and just on permitting, so it was good to see that there was a permit granted, I guess, for the modification to waste dumps, any sort of read-throughs there in terms of permitting that we should think about for Prime and some of the stuff that you want to do at Los Reyes? Is that a fair statement?
Jody L. M. Kuzenko: Yes. Eric, Torex has a long and established history, I think, of getting permits largely as we require them, both through the Media Luna build and now evidenced by EPO. That's a testament, a, to our reputation in country; b, the solid science and technical and engineering work we have associated with our permit applications, putting the environment first, which is critically important to the Sheinbaum administration. I don't think you can reasonably read through a mere modification for a waste dump on an established site to any sort of indication of a breaking up the log jam on open pit mining permitting in country. I think that story is yet to be written there, but I've said this before, and I'll say it again, we remain cautiously optimistic that under Sheinbaum's leadership, the exceptions that she's signaling as it relates to open pit mine permitting is something that we can work with the administration as it relates to Los Reyes on. We have a shot at it, we think. We were clearly prepared to place the bet.
Eric Winmill: Okay. Great. That's helpful. I appreciate it. And yes, looking forward to the back half of the year, it looks like it should be well on track, free cash flow inflection. So looking forward to the updates.
Operator: The next question comes from Allison Carson from Desjardins.
Allison Carson: Question is mostly on M&A. So you've obviously been busy on the M&A front and now have secured projects through much of the development pipeline, are you still open to more M&A? And if so, what stage of projects would you be looking at now? Is it more likely to be something closer or in production? Or could M&A still be focused on exploration and development assets?
Jody L. M. Kuzenko: That's a great question, Allison, and we've gotten it a lot over the last week since we announced the Prime transaction. What I will say to you is that our strategy remains unchanged. I mean Torex was looking to get out from the single asset moniker, and we were looking at assets in the Americas in three streams. One is early-stage exploration plays; two is get our project team working on another project; and three is a producing asset. We'd always wanted to be doing it from a position of strength and at the right time for the organization, which explains the timing of why we did it this quarter, both on Prime and Reyna. What I will say is because we acquired four assets on the early-stage exploration category, we are not out actively looking to acquire more. I think an important part of this is we're not collecting assets for the sake of or scaling for the sake of. We want to have some time here to unlock value from the assets that we have acquired, both in the context of project development and early-stage exploration, that very last part of your question still is of interest for us. Notwithstanding the fact that we're not a single asset anymore, we're still a single producer. We have a couple of mines, but we still have a single process plant, and so we remain open to M&A as it relates to potentially acquiring a producing asset, but again, it will be at the right time, at the right price in a way that complements the portfolio. We don't need to overpay. Media Luna is ramping up beautifully. We've got free cash flow coming to us from Morelos in a way that we're quite pleased about. So still very much the right deal at the right time. I think we're pretty much done on exploration for a while. We've got another project now ahead of us in addition to the Morelos projects with EPO and then Media Luna West and Media Luna East behind it, but remain open to a producing asset as appropriate.
Allison Carson: That makes a lot of sense. And then just looking at Los Reyes, Prime had not been drilling the project since January, but security conditions seem like they were improving. Are you expecting to be able to drill at the property once the acquisition closes in H2? And then how important is being able to drill the project for you in terms of achieving the time line that you've set out?
Jody L. M. Kuzenko: Yes. When you're talking about achieving the time line that we've set out, what we did say when we acquired Prime was that we would put a PEA out mid-2026. Scott Hicks and his team have done a brilliant job of drilling off that asset. They've drilled more than 220,000 meters, and so while you could always have more drilling to inform a PEA, we think there's enough drilling there to responsibly put out a credible PEA by mid-2026. So that doesn't impact the time line. In terms of your first question around the security circumstances in Cosalá, what I would emphasize is that Scott's assessment and our assessment of the security issues were not centered around any anti-mining sentiment. They were not centered around any anti-Prime or anti-drilling sentiment. What they really were was cartel issues where Scott and his assessment found that it was not appropriate to have his team traveling the road to site. What we will do very early days here in concert and in discussion with Scott and his team, even pre-closing is get our team on the ground, start to put resources in place to gain information, real-time information about the security situation, and we hope to be -- I can't say we expect to be because this is in part out of our hands. We hope to be drilling again this year as that settles down. We believe the security issue is very much a point-in-time issue. Sinaloa is widely known for being a fairly stable region from a security perspective historically.
Operator: The next question comes from Jeremy Hoy from Canaccord Genuity.
Jeremy Hoy: Just one for me. You've talked about recasting the mine plan for this year to accommodate the slight delay in the paste plant and also to achieve the guidance range, which you've set out. Is there any anticipated impact on production or costs in the following years? Or has the development you guys have done provided sufficient space to breathe on that front to be able to maintain your longer-term outlook?
Jody L. M. Kuzenko: Yes. That's a really good question, Jeremy, because sometimes some companies do mine planning as though the year ends and then there is not a discussion about what happens in the following year. We've been very thorough in recasting the mine plan 6 months, 12 months, 18 months and 24 months ahead of ourselves here, getting less and less specific as time goes out, as you would imagine. We've got very good short-term mine planning processes in place, and so the short answer to your question is that we are exceedingly optimistic about the mine plan heading into 2026. It is less risky. It will be less changed throughout the course of the year, and when you're not changing things as a result of construction activities, a planned mine is more likely to deliver better safety, better production and better costs, and so we look forward to getting back to the usual state here with Torex, where we plan, schedule and execute with discipline as opposed to moving through a number of different plans given the variabilities of construction in the active mine this year.
Operator: As there appears to be no more questions, this concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.